Operator: Thank you for standing by, and welcome to the Aristocrat Fiscal Year 2023 Results Call. All participants are in listen-only mode. There'll be a presentation followed by a question-and-answer session. [Operator Instructions] I'd now like to turn the conference over to Mr. Trevor Croker, CEO and Managing Director. Thank you, sir. Please go ahead now. 
Trevor Croker: Good morning and welcome to Aristocrat financial results presentation for the full year to 30 September, 2023. My name is Trevor Croker, Chief Executive Officer and Managing Director of Aristocrat. I'd like to begin by acknowledging the Wallumedegal clan of the Eora people, traditional owners in the land on which we meet today and I pay my respects to elders past and present.  With me in Sydney are Sally Denby, our Chief Financial Officer; Mitchell Bowen, CEO of Anaxi and Chief Transformation Officer; and Hector Fernandez, CEO of Aristocrat Gaming. Today I will step through highlights of the results and provide an update on our strategy and sustainability performance. Sally will then discuss our group financial results and balance sheet, after which I'll run through the operational performance and outlook. Please note the usual disclaimer statement at the back of the deck.  Turning now to slide two. I'm proud of the high quality result that we have announced today. The growth that Aristocrat delivered over the period demonstrates the ongoing resilience, scale, competitiveness and diversification of our portfolio and sound fundamentals in the markets in which we operate, even as we navigated mixed conditions. At the same time, we've been able to accelerate investment behind our successful growth strategy.  While the world around us remains volatile, our team managed the conflict in Ukraine and more recently in Israel with empathy and effectiveness and will continue to do so as any further upheaval in these regions unfold.  Turning to the numbers, we reported 13% growth in revenues at group level, compared to the prior corresponding period or PCP or 7% in constant currency, driven by a continued strong performance from the Aristocrat Gaming Americas business, partly offset by mixed conditions for the mobile gaming market at Pixel United.  EBITDA margins were 20 basis points higher than PCP, this stability reflects easing supply chain pressure in our gaming business, offset by the mixed impact from strong growth reported for outline sales. The margin pressure we reported for Pixel in the first half of the financial ‘23 has been effectively managed in the second half.  The group's NPATA result of around $1.3 billion represents a profit improvement of 21% in reported terms and 13% in constant currency compared to PCP. Our strong free cash flow generation was applied to fund both organic and inorganic growth, while surplus cash has been returned to shareholders through dividends and on-market share buybacks, in line with the group's capital allocation framework.  In terms of outlook, Aristocrat plans to deliver NPATA growth over the full year to 30 September, 2024. We continue to monitor the macroeconomic environment and consumer sentiment closely and believe that our diversified portfolio provides resilience through economic cycles. I'll return to provide more detail on our outlook expectations at the end of this presentation. Turning to slide four, the benefit of our strategic investments to grow and diversify Aristocrat was particularly evident in the strong 7% constant currency revenue and EBITDA growth over the year. This was underpinned by an exceptional gaming performance, which more than offset the impact of an industry-wide moderation in mobile game demand, again, highlighting diversification and scale as fundamental strengths of our business. Strong investment in organic and acquisitive growth initiatives continued in fiscal 2023.  Aristocrat's group growth strategy is anchored in leveraging world-leading game content at scale and across an expanding number of attractive verticals. We chose to invest in more product and core infrastructure technology to position the business to execute our strategy, while also improving our cybersecurity, data and other vital capabilities. Organic investment in talent and innovation accelerated to pursue gaming adjacencies and expand our capabilities in both gaming and Pixel United.  Focusing on online RMG, which is a strategic priority for growth and diversification, Aristocrat made significant progress over financial ‘23. This involves successfully building out our dedicated online RMG business unit, Anaxi, and increased D&D investment in technology to facilitate the development of our growing iGaming game suite.  The acquisition of Roxor was completed and the proposed acquisition of NeoGames was announced. We believe NeoGames will deliver numerous strategic benefits to the group, expanding market opportunities and adding vital capabilities that will unlock our full potential to become the leading and most trusted global online RMG provider.  Our consistently strong investment once again delivered above industry performance in key segments and drove market share gains. Some portfolio highlights for each business are referenced on the right-hand side, and you'll note a number of other references to our leading and improving share performance in key markets and segments throughout the presentation.  Turning to slide five, throughout 2023, Aristocrat continued to invest in executing our sustainability strategy, driving improvements and further lifting maturity in our most important priorities across the pillars of business operations, product responsibility and people and community.  Aristocrat will publish comprehensive disclosures covering our progress on our group website on the 1st of December. I'd encourage you to review these in detail and also remind you that we are hosting our first ever ESG-focused session at our Sydney office on the 5th of December.  This will be an opportunity to hear directly from our subject matter experts and business leaders, ask questions and better understand our priorities and progress across this important agenda. The event will be webcast for those unable to make it physically. Please reach out to our Investor Relations if you haven't yet signed up and want to participate.  I'll just mention a few highlights here. Responsible gameplay remains Aristocrat's highest leadership sustainability priority. It is increasingly part of the DNA of our organization, and we regard it as vital to the delivery of our growth strategy. Over financial ‘23, we continue to strengthen RG governance with the launch of a new suite of tailored policies and compulsory training rolled out across the business. We also completed Australia's first cashless gaming trial with lessons learned already being factored into the next generation of trial technology. We continue to innovate in player education and engagement, launching our first ever positive player consumer marketing campaign in the U.S. and rolling out the next generation of targeted player messaging in the key Social Casino app. We continue to take an iterative approach, testing and learning to refine and expand our efforts.  In terms of climate, Aristocrat took a big step forward with the development of an enterprise-wide greenhouse gas inventory for 2022 baseline. We also drafted and have now submitted science-based emission reduction targets to the SPC initiative and expect validation of these targets in the first half of calendar ‘24. We've also updated our supply code of conduct, further embedding climate, anti-modern slavery, and other key commitments throughout our supply chain.  In People and Community, the representation of women on our Board increased to over 44%, on our Executive Team to over 45%, and across the group, total representation of women stood at over 32%, shifting us closer to our midterm published targets. Teams right across the business were engaged in these efforts, and I'm proud that our sustainability agenda has strong buy-in among our people and has become part of our culture and an expression of Aristocrat's values.  We will continue to take an ambitious and strategic approach to sustainability to ensure that we're able to grow and deliver benefits to our shareholders and all stakeholders over the longer term.  I'll now hand over to Sally, who will take us through a summary of the group results and provide an update on capital and our balance sheet. 
Sally Denby : Thanks Trevor and good morning everyone. Turning to slide seven, our group results summary. Over the 12 months to 13th September, 2023, Aristocrat delivered NPATA of over $1.3 billion. This represents an increase of 21% in reported terms and 13% in constant currency. On a fully diluted EPS basis, growth was further boosted by our on-market shared buyback program, increasing 26% in reported currency.  Revenue increased 13% to almost $6.3 billion. On a constant currency basis, revenue was 7% higher than the PCP, reflecting the standout result achieved for gaming outright sales and another leading performance from North American gaming operations.  Pixel United demonstrated resilience in an environment where mobile gaming demand was mixed, achieving broadly stable revenues in the second half of the year of comparative member leads.  EBITDA was 14% higher than the PCP and up 7% in constant currency. This reflected slightly higher margins at Aristocrat Gaming. We were pleased to report modest growth in Pixel United's profit in the second half as we committed to at the first half result in May, mainly reflecting efficient investment in the U.S. Active management of operating costs to align the cost base to evolving market conditions was also undertaken in the second half, which will deliver benefits to Pixel United in future periods.  Operating cash flow of almost $1.8 billion was comfortably above the PCP. We continue to return excess cash to shareholders with $811 million returned through dividends and on-market share buybacks in the period. The directors have authorized a fully-franc final dividend of $0.34 per share in respect of the period ended 30th of September, 2023.  I'll now move to slide eight. The slide provides a snapshot of the key drivers of NPATA growth. As you will observe, the profit increase from Aristocrat Gaming, driven by growth in the Premium Class III gaming operations installed there, outright sales in America, and a strong recovery in our international Class III business was partly offset by a decrease in Pixel United's post-tax earnings as previously referenced.  Strong operational performance allowed us to actively increase investment in D&D over the course of the year, increasing to 13% of our revenue above our historical 11% to 12% range. This represents an additional $90 million NPATA investment in our strategy and in future growth.  As referenced earlier, we directed this investment in talent, products and technology to grow across a range of priority segments and genres, establish Anaxi, integrate Roxor, scaling online RMG, and lift core product technology, infrastructure and capability.  Finally, there are some non-operational features that I would also like to highlight. NPATA growth benefited from higher interest income arising from the increase in interest rates, and was also positively impacted by foreign exchange translation.  Turning now to cash flows on slide nine. Aristocrat's high quality results for financial ‘23 is evident in our strong cash flow generation over the year, reflecting the positive underlying business performance and higher interest income, partly offset by the increases in working capital.  Increased net working capital has been a recurring feature in recent half to meet customer order fulfillment, and this moderated over the second half of the year. Robust cash flow generation was utilized from investment in our install base in North America and the Roxor acquisition.  Aristocrat retained $443 million to shareholders in the form of share buybacks during the year, with $755 million returned to shareholders today. At period end, Aristocrat completed just over 50% of our $1.5 billion on market share buyback program.  Turning now to our capital investment priorities on slide 10. Aristocrat continues to focus capital allocation on supporting our long-term growth strategy and maximizing shareholder returns. In particular, the business drives organic growth through consistently strong and disciplined D&D spend, UA and CapEx investment, while also pursuing strategic M&A opportunities to accelerate progress in line with our rigorous criteria.  Over the reporting period, Aristocrat invested $820 million in D&D to further strengthen our product portfolios and support our entry into online RMG. This is tracking above our 11% to 12% historical range, which I will address in more detail on the following slide. Capital management remains the focus as we manage our balance sheet through cycles of investment in inorganic growth. We are targeting a leverage ratio representing net debt to EBITDA of 1x to 2x over the medium term. And we expect to return to a geared position after the proposed acquisition of NeoGames closes in the first half of calendar ‘24. The ability to move outside this gaming range for strategically attractive acquisitions is in line with our historical approach and provides flexibility to retain cash to shareholders through dividends and on-market share buybacks.  Now turning to slide 11. Before handing back to Trevor, I would like to focus on our investment in organic growth. The chart on the left tracks investments over the past four years, and the right shows changes over the past four half. Priorities across our business portfolios do change as we optimize returns and respond to growth opportunities.  A recurring feature is the ongoing discipline in our approach to investment across the group. The total investment has tracked at around 30% of group revenues over the past few years, with investment lifting to over $1 billion in the second half of financial ‘23. The lift in D&D spend reflects the growth of our gaming business to support our studio's increased investment in product technology to accelerate entry and scaling in Anaxi and the acquisition of Roxor in January.  Pixel United contributed $319 million to the $820 million of D&D spend and increased the $45 million over the financial year. Although UA investment in Pixel United declined over the year, reflecting maturity of certain game titles and a dynamic approach to investing, reduced UA spend was partly offset by additional D&D investment. This reflects our ongoing commitment to investment in Pixel United Studios and creative capabilities.  Finally, the increase in CapEx reflects Aristocrat Gaming's investment in almost 5,000 additional units in the install base of a financial 2023, with close to 3,000 of these being placed in the second half.  This completes the overview of group results. I will now hand back to Trevor, who will step through the operational performance. 
Trevor Croker : Thank you, Sally. Turning first to Aristocrat Gaming's business on slide 13. Aristocrat Gaming revenue and profit grew 22% and 23% respectively in reported terms, reflecting continued penetration of our high-performing games and cabinets and other strong performance in North America.  In the America segment, revenue increased 16% and profits by 14%. Outright sales grew by an outstanding 40%, driven by the significant lift in North American outright sales units, increasing 26% compared to the PCP, along with a 14% lift in ASP to over US$21,000.  Strong share growth was further supported by penetration of new hardware, along with successful growth in priority adjacencies, led by the VLT segments in Illinois, Oregon, and Canada. Gaming operations revenue increased 7%, driven by an 8% increase in our store base over the prior year, with particular strength in Class III premium, with strong market-leading fee-per-day trends within the portfolio. The gaming operations footprint grew to over 64,000 units, with continued penetration of leading hardware configurations and high-performing game titles driving this momentum.  Aristocrat Gaming continues to deliver strong game performance across the portfolio in North America, running at 1.4x floor average during the reporting period and exceeding all major competitors. Our highly anticipated National Football League games will add to the depth and quality of our portfolio. The distribution of NFL Super Bowl jackpots to casino floors started in early September, and our Class II game NFL kickoff is now available for placement.  America's margins contracted marginally by 90 basis points compared to the PCP to 55.2%, reflecting product mix, given strong growth in lower margin outright sales, offset by moderation of the supply chain pressures experienced last year.  In AMZ, revenue was relatively flat compared to the PCP, reflecting solid second-half momentum. Overall, profit margins contracted by around 1%, mainly due to increased U.S. dollar input costs, partly offset by positive mix due to the further penetration of the MarsXTM cabinet. Although not shown on this slide, we're also encouraged by the recovery of our international Class III operations, which reported over 87% increase in revenues on PCP in cost and currency, and more than doubled its profit contribution.  In summary, the global gaming business has delivered another high-quality performance, particularly in our North American and international operations.  Now, moving to Pixel on Slide 14. Pixel United delivered a resilient performance despite mixed conditions across mobile gaming. Revenues declined by 4% and profits were 6% lower, as strength in Social Casino games were offset by softness in RPG Strategy and Casual Games. Margins decreased by 80 basis points to 32.2%, and were impacted by a reduction in bookings from some higher margin legacy products, as well as exiting Russia, and the ongoing costs associated with the conflict in Ukraine.  Margins improved in the second half of the year, in line with our commitments outlined in May this year, finishing the year on an encouraging trajectory. The margin reduction was partly offset by lower UA expense, reflecting our dynamic approach to allocating UA across our portfolio of franchise games, relatively strong growth in social slots, and fewer new game releases. The lower UA spend is consistent with pre-COVID spending levels. Investments were also made to further bolster game development, operational and leadership capabilities.  Pixel United retained its number one global position in social slots and increased share, reflecting continued investment in live ops, features and new content, combined with effective player engagement. Social Casino bookings were up 1.8% on PCP, driven by the strong growth of Jackpot Magic Slots and Lightning Link, partly offset by some softening of Heart of Vegas and Big Fish Casino.  RPG strategy and action bookings declined 11%, reflecting lower revenues from the world-class RAID franchise. Sustained profitability in this successful title was supported by efficient UA investment, as well as innovative marketing initiatives, including the animated YouTube series, RAID: Call of the Arbiter.  Casual bookings decreased 11% due to mixed demand across the genre and some legacy titles in our portfolio. After successfully scaling EverMerge over the last two years, revenues were lower in fiscal ‘23. The recent relaunch of Merge Gardens has reported positive performance trends.  Pixel United continued to execute on its longer term growth strategy with innovative diversification of marketing across platforms, channels in response to evolving mobile game market and rising CPIs.  Plarium Play remains an important part of our platform diversification and now accounts for around 31% of Plarium revenues, up from 26% in 2022. Our partnerships with Brazilian footballer Neymar and WWE wrestler Ronda Rousey and RAID Call of the Arbiter also demonstrate our diversified marketing efforts.  Pixel United continue to focus on long-term value and maximizing portfolio profitability. As we've shared previously, Pixel United aimed to have 10 to 15 qualified titles to enter active development at any time and to grow this pipeline over time. Three to five of these titles could be launched over a two year period, with launch timing dynamic and subject to a range of variables to maximize chances of success.  Turning now to slide 15, which provides some context on Pixel United's performance against the global market. It highlights an extended period of market share gains over the five years to 2023, with Pixel United delivering a CAGR of 12% compared to the market CAGR of 8%. Looking at financial 2023, the global games market declined five percentage points on the same period last year, broadly in line with an approximate 4% decline for Pixel United. I'd now like to say a few words about our online R&D and customer experience solutions division, Anaxi.  Moving to slide 16. Around this time last year, we announced our new brand for the business and today we are live, real and entertaining players. We delivered our market entry commitments through the build and buy strategy that we shared in May last year.  Anaxi has made considerable progress and is now live with seven operators in six countries across eight jurisdictions. We completed the acquisition of Roxor, a leading studio and content publishing technology company and Roxor has now been successfully integrated into Anaxi as a core product technology, accelerating the delivery of our strategy.  In our priority North American market, we're live in the three big states of Michigan, New Jersey and Pennsylvania, with six operators giving us over 80% market access of the legal iGaming market in the US, up from over 60% previously disclosed ahead of our original target. We have 117 game titles live across the globe and Anaxi's focus is now scale and game share with a strong pipeline of content to be released over the coming 12 months. Buffalo is currently live in the US and UK with indicators of strong early performance.  Finally, we announced the proposed acquisition of NeoGames in May this year. Aristocrat and NeoGames have satisfied all required antitrust and foreign investment clearances and are making good progress with the necessary gaming regulatory approvals. We expect the transaction to close in the first half of calendar 2024, earlier than we indicated in May.  NeoGames will bring technology, distribution, new capabilities and talent to Aristocrat. When combined with our leading content and strong relationships with both commercial and tribal operators and regulators, it will allow us to build a world-class online RMG company of scale, operating across the three main verticals of iGaming, iLottery and online sports betting. So while it remains early days, we're excited and confident about our medium to long-term growth prospects in online RMG.  Moving now to outlook on slide 18. Aristocrat expects to deliver NPATA growth over the full year to 30 September 2024 on a constant currency basis, reflecting continued strong market share, revenue and profit growth from Aristocrat Gaming with a possible moderation in consumer spending in key markets, disciplined execution in Pixel United with a focus on market share and investment efficiency to maintain momentum. Focused investment in Anaxi as it scales its content portfolio to support broader market access in North America and Europe, and completion of the proposed NeoGames acquisition.  This is expected to be accreted to EPSA in the first full year of ownership with a broadly neutral impact on NPATA in FY’24 after funding considerations. Please note the additional modeling inputs you usually see on this slide have been included in the appendices. In summary, the group has delivered a high quality result for financial ‘23, demonstrating excellent growth fundamentals, market share gains in key markets and genres and strong operational momentum. Aristocrat has over 7,800 employees around the world and I want to thank each and every one of them for their dedication and hard work throughout the period. Your resilience and commitment will allow us to continue to deliver for all stakeholders. With that, I'll conclude the formal presentation and hand it back to the moderator to open the line to questions. 
Operator: Thank you. [Operator Instructions]. First question comes from Justin Barrett of CLSA. Please go ahead. 
Justin Barrett : Hi guys, thanks very much for your time today and congrats on the results. I appreciate some of the commentary that you've made on your outright sales performance. Maybe a question for Hector, just asking if you can, I guess expand on that obviously very, very encouraging performance there. What areas or regions are you performing well? How are sales in your adjacent markets? And what were the key drivers of that really strong ASP? 
Trevor Croker : Thanks, Justin. I'll hand it to Hector to answer that for you.
Hector Fernandez: So thank you, Justin. So obviously, very strong performance. We're proud of the results. Like you mentioned, strong unit sales, strong ASP. If you think about what our strategy has been, it has been to continue to invest in our D&D and to drive performance for our customers. And so from a North America perspective, we obviously benefited from a high total addressable market as a result of post-COVID kind of pent up demand, if you will. And we also were able to commercialize one of the highest performing core portfolios in the market.  And as a result of that, customers rewarded us with incremental share. And like we talked about in the last half, we also very much focused on pricing with innovation. So instead of just taking unit pricing with elevated supply chain costs, we focused on that element.  From an adjacency perspective, and keep in mind, a lot of these adjacencies are areas where we currently have not operated. So any share gains come at an incumbent player's cost. Roughly about 25% of our fore sale performance was through this adjacent market.  And so it is very clear that customers are rewarding performance on their floor, their ability and willingness to pay a premium price for that performance. And it really demonstrates our ability to commercialize, not just within our core markets that we've operated historically in, but also these new adjacent markets where we've had a lot of success. 
Justin Barrett : Fantastic, thanks for that. And then maybe another question for you, Hector, just I guess in terms of the outlook, how are conversations going with your major customers' reports from I guess, one of the major containers remains quite encouraging, but I guess everyone is a little bit cognizant of the outlook. Have you, are those conversations still remaining quite but robust in terms of the outlook more broadly? 
Hector Fernandez: Yeah Justin, I mean, I think with all things, we're obviously very – we're cautiously optimistic, right? There's been a talk about a slowdown for the last couple of years. And what we've always said is we're going to compete in whatever market presents itself and our strategy is to gain share anywhere we play. But all of the recent conversations we've had is very robust performance. If you think about what's happening right now, as we speak on the Vegas Strip, right, you have F1. So you'll have some pretty significant visitation rates there. And so while we, from a business perspective remain very cognizant and look at leading indicators all the time, and we're very cognizant of how we invest our dollars, it's still very robust conversations around forward CapEx.  And then the one thing, last thing I would say Justin, just to remind everyone, part of our strategy has been to enter into these longer term deals with our customers, which gives us better visibility and removes some of that lumpiness that we've had historically. 
Justin Barrett : Fantastic, thanks very much. 
Trevor Croker : Thanks, Justin. 
Operator: Thank you. The next question will be from Adrian Lemme of Citi. Please go ahead. 
Adrian Lemme : Good morning, Trevor and team. My first question was related to the NFL game. It seems like interest out of G2E was very strong. Have you seen any sort of change on the level of uptake from then? And are you finding that it's replacing existing Aristocrat titles on the floor? Are you displacing competitor titles overall? Thanks. 
Trevor Croker : Yeah, thanks Adrian. Hector, will give you a good rundown on that quick. 
Hector Fernandez: Sure, Adrian, thank you for the question. Obviously, lots of excitement at G2E from the NFL. Not just one game, but really a portfolio, six different games, not just in one form factor, so Class III, Class II, stepper, mechanical reel. In fact [inaudible] actually just published something this morning that talked about the most anticipated games. And it was something like close to 50% of the votes came through the NFL. And so it was very clear that that strategy has resonated with our customers.  I would say its very early days from a performance standpoint, but we're quite pleased with the uptake that the NFL has taken. The other piece we're quite pleased in some of the early data that it's showing is that it's actually incremental play, Adrian, and it isn't cannibalization of our existing product. And so we're taking incremental share, not just from the existing product on the floor, but also we're bringing in a different player base.  Again, very early days, but the player base tends to skew slightly younger and slightly more male. And so early days, we're very, very pleased with the performance and the uptake that we have seen. 
Adrian Lemme : Thanks for that, Hector. And can I just sneak in one more question while I've got you, please? I noticed that the fee per day for gaming ops was down about 1% for the full year. I think some of your peers have been reporting low signal digit increases. So is it just mix driving that or is there something else going on? And should we expect growth in that metric given ongoing inflationary pressures, please? 
Hector Fernandez: Yeah, thank you Adrian. I mean, I think I’d just reiterate that we still have the market leading fee per day and it's stable and strong. So I would almost call it relatively flat year-over-year. The other thing I would say to that is we've talked a little bit about that, a significant portion of our install base is actually variable. So it's not a fixed fee, therefore any fluctuations in coin-inresults in a fluctuation of fee per day.  But as you think about even our strategy with the NFL and innovation, right, part of our strategy is to continue that industry leading fee per day. And from a performance standpoint, drive value to our customers. And so we feel really good about our relative positioning.  The other thing I would note is some of that fee per day from a competitive standpoint, I would encourage you to go look at their install base performance. Because one of the things that we're very proud of our performance is not just the fact that fee per day was relatively flat, but we installed nearly 5,000 net new ads for the year, which is a significant portion of the total industry install.
Adrian Lemme : Thanks very much Hector. 
Trevor Croker : Thanks Adrian. 
Operator: Thank you. Next call will be from Andre Fromyhr of UBS. Please go ahead. 
Andre Fromyhr : Thank you. Good morning. I just wanted to ask about your organic investments. Obviously you've called out that you spent less on UA in this period and more on D&D as a percentage of sales. And that sort of outlook is expected to continue next year. How much of that is sort of a strategic pivot that the UA probably wasn't achieving the return on investment that maybe you'd hoped and therefore should we expect that D&D rates to be sort of more permanently higher at this level? 
Trevor Croker : Yeah, thanks Andre. I'll make some comments on this one. First of all, we continue to invest in our organic aspects of the business, so we've included an extra slide in the pack today, which talks around the investments between D&D, UA and CapEx. You can see that there's still consistent investment there in and around that 30% of revenue on an ongoing basis.  To your question, we dynamically look at where we invest, both for the short term and for the long term, and we continue to invest now D&D as a high priority for the organization, and more importantly, to continue to establish a great games hardware and technology platform for the gaming businesses, to continue to support the distribution and growth within Pixel as their portfolio and pipeline, and then to stand up and to scale Anaxi as we enter this new adjacency, very attractive adjacency over the medium to long term, whilst building a technology investment behind our technology infrastructure to enable us to do that on an ongoing basis.  And if you talk about where D&D sits, I mean D&D is down as a percentage of revenue, we acknowledge that, but at the same time, it goes to the – UA, sorry UA is down as a percentage of revenue, my apologies. But at the same time, it goes to the stage and the maturity of our portfolio.  We've got a very efficient UA investment when it comes to social casino. We've got scaled assets, world class assets like RAID, and we have been scaling merge segments, games like Merge Gardens over the last year. But that will become more dynamic, and it'll depend on where we are from a portfolio point of view, where we are with new game launches, and also where we see ourselves going as far as, it's coming back to about where it was in the pre-COVID levels.  But at the same time, we're offsetting that by investing in alternative marketing strategies, whether it's television advertising for Lightning Link, Ronda Rousey in RAID, and other initiatives like Call of the Arbiter, which is trying different ways of marketing our brands, which don't end up in the UA line. 
Andre Fromyhr : Thanks, I just had another one specifically about the Anaxi investment. I appreciate you calling out or you're separating the D&D portion for Anaxi, but where is the other sort of parts of your current Anaxi business recognized across the group? I assume that there's other OpEx associated with standing up that business, and you've had Roxor for the entire second half, and you've got new content agreements that are going to kick in at some point. So is there a way that we should be adjusting either the corporate costs or the gaming P&L once Anaxi sort of stands alone? 
A - Trevor Croker : Sally, will give you a good update on that. 
Sally Denby: Yes, so thank you for your question, Andre. The largest portion of the Anaxi investment is in D&D, which is why we've specifically called that out, and that does include Roxor, because again, the largest portion of expense in the Roxor business is actually in the D&D line.  There are some overheads as you pointed out, and that's currently sitting within the gaming business, across both ANZ and Americas. And as we move into next year and bring NeoGames onboard, we will actually revisit the way that we report this business in the market. But as I said, we disclosed D&D, because that is the largest portion of investment as we scale this business. 
Andre Fromyhr : Okay, thank you. 
Trevor Croker : Thanks, Adrian. Next one please. 
Operator: Thank you. Our next question will be from Matt Ryan of Barrenjoey. Please go ahead. 
Matt Ryan: Thank you. I just had a question on the strategy of D&D within Pixel United. So just trying to get an understanding of, I guess, how you're assessing what you are spending, and I guess the context is that I think you're talking about disciplined execution, which we can clearly see that in the UA spend, but the D&D continues to increase at the moment, and I suspect you might be able to clarify that that's going to increase next year per your guidance.  So I guess just in the backdrop you've got, I guess, a pretty challenging situation with, market growth is pretty subdued and CPIs have gone up a lot. So just trying to understand that D&D line and what the strategy is.  Do you sort of think that the market's going to recover? Do you think that you've been a little bit unlucky with the games that have come out over the last three or four years, that they haven't hit the mark more than what they have or just any color on all of that would be pretty helpful? 
Trevor Croker : Yeah, there's a lot there, Matt. So I'll try and unpack some of it and certainly see how we go from there. First of all, I think the strategy with D&D, consistent with the way we think about our gaming business is that we believe in the creative talent is a differentiator for us, and we continue to look at having a pipeline of 10 to 15 qualified games in the Pixel portfolio.  As you know, we've launched Merge Gardens in the last two years. Sorry, EverMerge in the last two years, Merge Gardens was relaunched earlier this year, and we'll have games coming through in the FY’24 period, which will take the soft launch and providing that scale with the metrics will take them through to full release.  That pipeline is a rigorous process, and that's where the discipline comes in, as to how do we apply various investment theses and also points of investment where we get confidence around the stage gauge approach to the development and ultimately to the release for product-to-market. So the discipline comes into looking at the way that we built the pipeline, we continue to monitor and evolve the pipeline, and then ultimately as we get to a scaled release, then it's what's the ongoing support that's required to support that pipeline as well.  We do have a benefit where we are now getting around 100 games in social casino. Around 50% of those are coming from Pixel, of which some end up in the gaming business, and then we do have games that go from gaming into the Pixel business as well. So it's really around the strategy is continuing to look at the genres in which we participate, the strength and resilience we have in each of those various genres, particularly social casino and RPG strategy.  And then looking at how do we continue to build out the portfolio, as I said, that 10 to 15 qualified games in the pipeline at any point in time. 
Matt Ryan: I mean, is there something changing in the future? Because the simple way that we're looking at it is, if you take EBIT after the D&D expense that you've called out, it has been declining for a few years now. Is there a change to that trajectory that you think is going to be driven by market growth or do you think you've just been unlucky, I guess, with the games that have come out over the last few years? 
Trevor Croker : Yeah, I think what we've been focusing on is continue to drive features in Live Ops. And you would have seen that we've been talking to the market now for probably a couple of years about increasing the capabilities of that. And that's really been able to drive share taking for the social slots portfolio, and continue to evolve the raid and the RPG strategy portfolio.  I don't think it's unlucky. I think the market is still very volatile, and what we're saying is we're going to take control of what we can control and we will take share in the markets in which we can participate in. And really what we're focusing on is we're adjusting other costs in the Pixel United business to manage to the right outcome, whilst continuing to believe that organic investment, which is core to our growth in the short term and long term is the right thing to do under a disciplined approach. 
Matt Ryan: Okay, thank you. And just a comment in the guidance about moderating consumer spending. Is that something that you're seeing at the moment? 
A - Trevor Croker : I'll just probably go back to Hector's earlier comments from a customer's point of view. I guess what we would say on that basis is that we've said it could be possible and that's really what we put out there.  I'd point to a couple of points here. We've been talking and we've shared over a number of results now, the resiliency of the gaming business over the last 20 years, through the different economic cycles and still believe it to be quite resilient.  At the same time, we also have seen coming out of COVID, good games will perform better than an average game at a time when there's a choice for the consumer. So we believe that having the best portfolio, a large install base is an advantage from that perspective as well. So all we're saying is, it's possible.  I think picking up commentary that Hector said, certainly the customers at the moment are still having robust conversations and there's good forward view on it. We're just saying that it is one of those things that's talked about out there, but we see gaming to be quite resilient, and we think that our diversified portfolio of assets across our business being Anaxi, Pixel United and gaming allows us to manage that. 
Matt Ryan: Thanks Trevor. 
Trevor Croker : Thanks Matt. 
Operator: Thank you. Next question will be from David Fabris of Macquarie. Please go ahead. 
David Fabris: Trevor, and others. Can I start off? I just wanted to unpack the guidance for NPATA growth if we can. I just wanted to understand if you can provide some extra color on thoughts across the land-based businesses on the regions you report and just maybe comments on Pixel United and Anaxi just to help us understand, I guess, building up segment profit. 
A - Trevor Croker : Yeah. Let's see if we can do that for you. First of all, we put out there that we're going to expect to deliver NPATA growth, right. So we're going to continue the growth trajectory which we have done for a number of years now, and we see that being able to be achieved. Obviously the four or three business units particularly, I think we've been around the grounds on gaming, but Hector, I don't know if you want to make any more specific comments, but around taking share adjacencies. 
Hector Fernandez: Yeah, I mean, I think David from the gaming perspective, there's still growth left to be had, right, because there's a lot of it. There's several adjacencies where we haven't currently competed in. And if you just think about from a regional perspective, there's been significant growth in Asia, particularly the Philippines and Singapore. You're starting to see some early signs of Macau recovery as well.  And look, North America, to Trevor's earlier point around performance and game performance, we've been able to demonstrate that investing in innovation, customers have rewarded us by driving incremental share and so that state of strategy has not changed. And so from a gaming perspective, we still see plenty of growth ahead of us going forward. 
A - Trevor Croker : Yeah, and then just building a little bit, I mean I think we've – Matt asked some questions around where we see Pixel United. It's around discipline, making sure that we've got the portfolio and we're investing in the right levels for the portfolio. And as the market changes, we will continue to take the upside from that. So we're saying we're going to take share.  Again, whatever the size of the market is, we will take share and we believe that we've got the right portfolio and strategy, and we're also being disciplined in the way we apply that.  I mean Mitchell, I don't know if you want to make any quick comments just on the Anaxi scaling and entry into North America and Europe. 
Mitchell Bowen : I think David, from an Anaxi standpoint, it is – we’ve talked about before about market access, and we've talked about that 80% in North America, but then as we start to scale across Europe as well, continued focus on getting as much access to the available GGR as possible. And then our original hypothesis about, our top performing land-based games resonating well online, as we've talked about is proving true. So building up that pipeline and scaling that pipeline through the market access is what Anaxi's focus is going forward, and that's what we talk about by scaling that business. 
David Fabris: Got it. 
Trevor Croker : The final part David, is that, we've put a bit more clarity around where we are on the Neo transaction with the antitrust and financial regulators all approved, and now it's really with gaming regulators and that it’s expected to close in the first half of this financial year for Aristocrat. 
David Fabris: Got it. And can I just ask a question on Pixel Unite? Obviously, Mike Lang's no longer there. Can you maybe talk to whether you might review the strategy or the benefits of owning all parts of that business? How should we think about the change of leadership there? 
Trevor Croker : Think about it as change of leadership, the strategy is robust. The business still remains an important part of what we're trying to do with Aristocrat. There are synergies across the group, whether it's from a learning and knowledge point of view, whether it's around data, there's also technology benefits and also innovation in the way that they do Live Ops, they do features that we can learn for Anaxi.  So we still see it as an important part of our portfolio and a strong part of our diversification. Just going back to what happened through COVID, we saw the value of a diversified business and we still see Pixel being part of that, and it's really just a leadership change. 
David Fabris: Got it. And just to sneak one more question in, just on D&D, I know we've spoken about it a lot, but as a percent of revenue it’s going up or it’s going to be 12% to 13% in ’24. How should we think about it in ‘25 when you have a full contribution from NIO Games? Should it start to moderate from those levels or is this the new normal? 
Julie Cameron-Doe: I'll take that. So I think as Anaxi scales over the medium term and that includes Neo coming on board, we expect that it should reduce. I think realistically, that's going to take us a little bit of time. So we'll probably be at the upper limit for the next couple of years, but our ambition and our target will be actually to get back to that 12% range again, David. 
David Fabris: Very helpful. Thank you. 
Trevor Croker : Thanks, David. 
Operator: Thank you. Next question will be from Rohan Gallagher of Jarden Group. Please go ahead. 
Rohan Gallagher: Hey, good morning, Trevor. Good morning, Sally. Good morning, everybody. A lot of the questions have been already asked and answered, so thank you. One question for me, in regards to an excellent U.S. operating gaming performance, we share growth across both gaming ops and game sales. We saw no operating leverage.  Even though we've got a disproportionate growth in particular gaming ops, which is the highest margin segment, can you help us reconcile that please, whether there were some additional startup costs in there, change of allocations of costs, etcetera, that we should be looking through going forward, please. Thank you. 
Trevor Croker : Julie? 
Julie Cameron-Doe: Yeah. Thanks for the question, Rohan. I think when you look at the margins in North America, if you look at how we've evolved over the last few half, we're back now at 55, just over 55%. And if you compare that to our historic range, if you go back to FY’19 in a pre-COVID world, it was always our target to get back to that level of margin.  We obviously cycle through periods of high priced inventory and we've come out of that in the second half and we expect that to moderate, but we'll continue to watch and monitor that situation and be ready to respond proactively. But I think our resolve is that, yes, we continually drive efficiency in the business, but we're back at a margin that aligns with pre-COVID level and where we thought we would actually be.  Just remembering that we've got adjacencies in there now that are also at a slightly lower margin than some of the premium operations. 
Trevor Croker : And Rohan, just keep in mind also, even though we had a very strong gaming ops performance, we had an incredibly strong game sales performance. And therefore, there is from a – there is a weighted average mix element there, because gaming ops comes at a higher margin. And so gaming ops was strong, but game sales was disproportionately stronger. 
Rohan Gallagher: Yeah, I don't disagree. It was phenomenal operating performance, but I think one would assume there should be some scale benefits to drive efficiencies and therefore margin enhancement given the outstanding results that you've delivered, but I'll leave that as a comment.  And finally, on a positive note, which we never talk about or we haven't talked about for a while, international phenomenal effort. It's now two-thirds of ANZ. I'm aware that there was a number of one-off projects, Philippines integrated resource, etcetera. What is a ratable sort of run rate for this business on a go-forward basis? Thank you. 
Hector Fernandez: Yeah, I think just put some boundaries around this. International picks up, LATAM, Asia Pacific – sorry, Asia, and also EMEA. So maybe Hector, you just put some context, because it is a collection of different geographical regions. 
Trevor Croker : Yeah Rohan, we are quite proud of the performance that we put out from an international perspective. International, particularly Asia tends to be a bit lumpy. So just keep that in mind that it isn't this linear thing that we can extrapolate, because it is very dependent on new openings and expansions and replacements and things like that.  But I would say from an EMEA standpoint, I'll start there, it was largely open and recovered. And so if you look at the Eilers performance, we had industry-leading performance there. And from a commercial execution, we capitalized against that performance.  And then the second thing I would say from an Asia perspective that I mentioned was high growth for us as well. We really committed to that market and designed content that goes after that market. So that's specific, so not just sporting content from Australia or North America, but really designing that. And so one highlight I will give you is we launched Dragon Link in that market under a hybrid model, and our customers have accepted that model, and that is the first time that we've really done that in that market.  And so we're very proud of the results there, but it is lumpy and we will continue to – everywhere where there is growth, we will continue to execute against that growth. 
Rohan Gallagher: Fantastic, thank you for your time. 
Trevor Croker : Thanks, Rob. I appreciate it. 
Operator: Thank you. Next question will be from Rohan Sundram of MST Financial. Please go ahead. 
Rohan Sundram : Hi team. Thanks for that. Hector, I might start with a question for you, just taking onboard all your comments earlier and around growth outlook, how would you rate the forward visibility that you are seeing at the moment, given the customer conversations that you are having? 
Hector Fernandez: Yes, so Rohan, you would know that we don't really comment too much on kind of forward guidance, but I will say all of the conversations we're having are very positive. It's like we've talked about over the last few half, it's really less about a transactional conversation. The conversations we're having is with the C-level executives, and it's really around a strong partnership.  And one of the things I'll highlight is, in fact, yesterday I was at a dinner in Australia here in Sydney with some of our key customers, and we were talking about just the resilience of the business and the need for strong partnerships as we tackle some of the unknown waters. And so that's really been our focus from day one, right? Is change the business from a transactional business to really be a long-term strategic partner where we each kind of share the value, if you will. So from that standpoint, they continue to be very positive. 
Rohan Sundram : Thanks, Hector. I might switch to Anaxi. Mitch, I noticed that Aristocrat and Anaxi now, over 80% market access in the U.S. It seems a pretty good improvement on where we were six months ago. Just keen to understand what's driving that and whether there has been any, another key customer sign-in? 
Mitchell Bowen: So I think, yeah, so I think as Trevor mentioned, or two things I would say. Grabbing market access and making sure that our technology works and our games converted or adapted into the online world does take some time, and that's what we have to spend our time doing.  From a contractual standpoint to key customers, we've obviously got a lot of the large operators signed and live, which you would have seen. And then our pipeline for continued contracts is strong both in North America and across Europe, and then as we emerge into Latin America as well.  So I think that when you're starting up a new business and trying to scale it, there is a timing piece. So over the next 12 months, you will start to see that business scale, Rohan. 
Rohan Sundram : Thanks, guys. 
Trevor Croker : Thanks, Rohan. 
Operator: Thank you. Next question will be from Simon Thackray of Jefferies. Please go ahead. 
Simon Thackray : Thanks very much. Hi Trevor, Sally and team. I'm just going to stick to some financials, pretty simple ones, to be honest with you. The net debt to EBITDA target, medium term, 1x to 2x on a pro forma basis, looks about $1 billion higher than what you suggested at the time of the NeoGames M&A, which was based on FY’22 pro forma at 0.7x. Just trying to understand, what's the driver of that guidance to figuring to rise by $1 billion, considering the strength of the free cash flow and the earnings that lay ahead with growth? 
Trevor Croker : Yeah, thanks, Simon. And Sally will give you some context. 
Sally Denby: Yeah, I think as we set that target out, Simon, we did say that that was a medium term target. When we execute on Neo next year, that will bring our leverage up, but we absolutely will not put it back into that medium term range.  Our ongoing review of this is that we will continue to do buybacks. We want the flexibility that we've got today. We'll continue to be opportunistic in how we target buybacks, but also in how we look at being inquisitive in the market as well. So it's very much a medium term target and not a short term target for us.
Simon Thackray : Sorry Sally, you sort of cut out there. I think you turned the page. What did you say about where you expect the target to be after the NeoGames acquisition? 
Sally Denby: It will come up, but it's still within the 1% to 2%, the 1x to 2x. That 1x to 2x is definitely a medium term target. 
Simon Thackray : Sure, but it will be below the 0.7? 
Sally Denby: We're not commenting on where it'll be at this point in time, Simon, but it will be below the 1x to 2x. 
Simon Thackray : Okay, okay. And then maybe just a real quick housekeeping one, Sally. Just the depreciation step up, second half versus the first half, I presume with acquisitions and investment, but just what should our expectations be going forward for the depreciation side of the DNA and noting that the amortization of intangibles actually went down year-on-year? 
Sally Denby : The depreciation step up is largely driven by our investment in the gaming operations fleet. So tech to top two, we had a net addition in the year of 5,000 additional units, but the gross additions was higher than that and obviously their premium cabinets going out on the floor. So that's ultimately driving the largest portion of the increase in the depreciation.  From an amortization perspective, the reason that that number's come down throughout over the year, is that we had some intangible assets in there that are fully amortized over the last 12 months. And obviously that number will get revisited once we bring Neo on board at some point next year. 
Simon Thackray : Sure. So ex-Neo though, the depreciation run rate for the second half is more representative of what we should be thinking about for the full year. 
Sally Denby : The amortization run rate, yeah. 
Simon Thackray : And the depreciation run rate similar?
Sally Denby : No, the depreciation is largely driven by gaming operations and our investment in that install base in North America. 
Simon Thackray: Okay. Thank you. I appreciate that. 
Sally Denby : Thanks. 
A - Trevor Croker : Thanks Simon. 
Operator: Thank you. Next question will be from Sriharsh Singh of Bank of America Securities. Please go ahead. 
Sriharsh Singh : Yeah, I had three questions from my side. One, the lower user acquisition spend call out for next year. Could we interpret it as signaling that you'd be spending less behind any new game launches besides maybe scaling up EverMerge?  And then are you seeing any improvements in user targeting capabilities for Pixel United, App 11 called out, some improvement in the App Tech Engine using AI machine learning? How are you thinking about using that? 
Trevor Croker : Yeah, thanks, Sriharsh. First of all, I think when we think about UA investment, so we've got a good suite of games, we've got a very efficient suite of UA investment when it comes to Social Casino and so we continue to drive that. Also as you said, scaling EverMerge and scaling new games as they, and when they come to market.  The guidance we've provided is around moving back more towards where we were pre-COVID and it sort of reflects where the maturity of the portfolio sits, but gives us the capacity to invest behind new games going forward.  At the same time, we're doing other user, not user, other marketing activities like we said earlier, RAID: Call of the Arbiter. You would have seen that we've done the Ronda Rousey, the Neymar activities. Plus we've also, there's a new activity coming with RAID, which is entering Xena: Princess Warrior is coming into the Xena game. Again, there's another way to market the game and also to put it out there.  So what I would say to you is we're trying alternative methods to your question about, are we using AI? We're using different ways of looking at reaching new markets and also out of our traditional just UA investments. So it's a little bit of both. 
Sriharsh Singh : Sure. And second question on the increase in D&D spend. How much of that is coming from targeting Anaxi scale up in the coming years and how much of that is probably geared towards lifting your ship share in new adjacencies and outright sale market? 
Trevor Croker : Sally, do you want to just?
Sally Denby : Yeah, I think the reality is that it's actually a mix. So we've seen opportunities to invest in the breadth of our portfolio. And in gaming, very much focused on the widening of that portfolio, including the addition of the adjacencies and our expansion into new adjacencies. And then obviously the standard for Anaxi and scaling that business along with the acquisition of Roxor during the year, which as I said earlier, actually added to the D&D cost there. 
Sriharsh Singh : Yes, and last one question, if you can disclose, any comments on how the NFL game portfolio is trending versus its own average? 
Trevor Croker : Sure. Hector might just put some clarity around that. 
Hector Fernandez : Yeah, so it's obviously early days, but we wouldn't disclose kind of the performance, but like I said earlier, we're very happy with how it's doing in the market. And more importantly, we're happy with our customer reactions.  I think one of the things that's really unique about the NFL brand is the largest sporting brand in North America. And it actually gives our operators a true way of being our strategic partner of driving innovation on their own floor, on how they are going to commercialize it on their own floor. And so there's quite a bit of excitement that we've enjoyed having those different kinds of conversations of how can we together bring the NFL brand to a player? 
Trevor Croker : Maybe just Class II, just released. 
Hector Fernandez : Yeah, Class II has been live about a little, probably a little bit over two weeks now. Again, very early days. We use a very proven math model to develop that content. It is not a port of the Class III product. It is actually a completely different product. And so when we think about being successful in all the markets we compete, we really took that approach with the NFL and really tried to give the operators the flexibility and the capability to drive innovation and build some interesting things on a casino floor that could potentially monetize a high foot traffic, sports betting player that historically has not played slot machines. 
Sriharsh Singh : Understood, thank you. 
Trevor Croker : Thanks, Sriharsh. 
Operator: Thank you. Next question will be from Paul Mason of E&P. Please go ahead. 
Paul Mason : Hi, I just wanted to ask a couple of things about online RMG. Just any comments on when or whether Dragon Link and Lightning Link are going to come out, whether there's a potential for you to take your NFL agreement into iGaming as well. And then also whether you've got any intentions around live table games. Those are the three things I'd hope you touch on. Thanks. 
Trevor Croker : Thanks, Paul. I'll hand over to Mitchell. 
Mitchell Bowen : Thanks, Paul. Look, I think to answer the first couple of questions, we've obviously, as we start to scale and drive market access and bring NeoGames onboard, we have a very regular cadence of game launches over the next 12 months and certainly over the next 24. So we are thoughtful in how we release that. Certainly discussions have been had internally about your said games and we'll continue to have those conversations over the coming period. Won't give you a timeframe on when all of that happens though.  The second part of your question around Live Dealer, look, I think as we've talked about with our strategy in online RMG, slots was a logical entry point for us to leverage the top performing games in Lambton [ph]. When we define RMG, we do talk about iLottery, online sports betting and iGaming being casino.  Within the casino genre, there are multiple different product segments that are part of our strategy, but at the immediate term, our focus is to obviously scale and actually and close NeoGames, but we'll continue to keep you updated on that strategy as we progress. 
Paul Mason : Thank you. 
Trevor Croker : Thanks, Paul. 
Operator: Thank you. Next question will be from Don Carducci of JP Morgan. Please go ahead. 
Don Carducci : Morning team and kind of setting a time, maybe just an easy one, like a yes or no. Is there an opportunity or their plans for a cost out to aid margin expansion? 
Trevor Croker : No. It's about discipline investment on an ongoing basis, Don. It's continuing to invest in D&D, which drives our short term and long term, but we continue to look at where other costs lie within the organization and we remain focused on that and it is part of a broader program.  You saw that we did some adjustments in the Pixel business in the second half, but we remain focused on how do we create more synergies and more connections across the risks there going forward? We still believe they are a great investment. We have the opportunity to invest in the core businesses and also to scale. 
Don Carducci : Cheers. 
Trevor Croker : Thanks, Don. 
Operator: Thank you. There are no further questions at this time. I'd like to hand back over to Mr. Croker for closing remarks. 
Trevor Croker : Thank you, operator. Aristocrat continues to execute well against the strategy of offering a diversified gaming portfolio that leverages our leading content and capabilities. While we face a number of uncertainties as we move into fiscal ‘24, our constantly strong investment in talent, technology and innovation leaves us confident that we've captured the numerous opportunities that lie ahead.  If you have any further questions, please don't hesitate to reach out to our investor relations team. I'll now call the formal proceedings to a close. On behalf of the broader team at Aristocrat, we thank you for your ongoing interest in the company and we wish you a good day. Thank you. 
Operator: Thank you. That does conclude our conference today. Thank you for participating. You may now disconnect.